Felipe Peres: Good morning. Thank you for standing by and for attending our virtual meeting to present the results of the Fourth Quarter 2023. This meeting is being recorded and you are listening to the simultaneous interpretation into English. If you want to hear the English audio, click on the language interpretation button on the lower part of your screen. We are going to show the slides in Portuguese during the meeting. If you want to see the document in English, it is available at our Investor Relations Web site at the address www.bbseguridaderi.com.br/en. During the presentation, if you want to send questions, please click on the Q&A button. We are also going to allow some questions to be asked by audio after the presentation and in Portuguese only. The presentation today is going to be led by Rafael Sperendio, CRO and CFO, and our Acting CEO right now. Mr. Sperendio you may start. 
Rafael Augusto Sperendio: Thank you very much for attending our conference call. And before starting the presentation I will just like to emphasize that the new CEO has been elected by the Board of Directors on January 26. He is retiring or rather discontinuing the other operations that he used to do in the U.S. related to the Bank’s operations and his term in office is going to officially start on February 20th. So he will join us in our next call for the first quarter of 2024.  So, now going straight to Page 2 with the highlights of the year. Our net income was BRL 7.9 billion. Formally speaking considering the effects of the new IFRS 17 standards with a growth of 28.3%. And here I would like to emphasize once again that even though officially we are reporting our numbers in IFRS 17 we keep in parallel the previous standards according to IFRS for the -- because our Brazilian authority has not yet accepted the new standards and this affects the whole group and the other companies of the group are not doing. But Seguridade has not yet received the new standard. Meaning that the flow of dividends that we get from those two companies is still based on the previous accounting standard so we are publishing our information according to the previous accounting standard. And we are going to keep on doing that along 2024.  So according to the previous accounting standard our managerial net income was 0.7 billion with 27.6 growth. And in terms of insurance we have 17.2 billion in premiums within a 9% lower loss ratio was the main highlight with a significant drop of 4.1 percentage points driven especially by the aircraft insurance that is at the record low in terms of loss ratio. And in terms of pension plans we are at 392 billion in reserves growing 14% year-on-year. Net inflows almost BRL 9 billion, five times greater than the net inflows that we delivered in 2022. In terms of premium bonds, we have a collection of BRL 6.4 billion, a group of 8% in the year. The reserves balance is BRL 11.3 billion with a growth of 18%. And closing in terms of dividends, they totaled in the second quarter of 2023 BRL 2.5 billion which is equivalent to 1.23 per share totaling BRL 5.7 billion allocated in terms of payout of dividends for our shareholders.  Now on the next slide I'll talk about our mid and long term strategies. So here going through the first pillar of digital transformation, we have invested BRL 587 million in technology. So you can see what this means. And most of the funds were invested in architecture as service based architecture in the development of new products according to the new architecture, take 67% faster and offer in definition of parameters. And then we can save almost 90% in time. We have improved our model too in terms of billing and collection according to credit checking account debit, credit card, in invoice we have expended pics in terms of sales, the share of digital in the total product sold. Taking out those related to credit is 15% of the total with a 1.3 percentage points year-on-year increase in terms of the digital share as compared to 2023.  In terms of growth, this number has grown 39% compared to 2.22, the main highlight or the premium bonds that grew more than twofold in terms of premium sold in digital channels, and the port -- considering the exclusively dedicated digital products we have made 77,000 sales, especially low ticket products that are only available in digital channels. In terms of the use of analytical intelligence being applied to business, we are -- we got to the number of BRL 13.4 billion and in terms of new products that were launched in 2023, either in new products or expanding the addressable market for existing products we have gotten to the BRL 240 million in 2023.  Now on the next Slide Number 4, going to the distribution model diversification. On Page 4, here we delivered 2.1 billion in terms of premiums in channels that are not Banco de Brazil. This has contributed with 192 million for the earnings in 2023. We have 83 new partnerships in the year, most of the production is still focusing on the rural or agricultural industry. In terms of customer experience on Slide 5, we are in the constant pursuit to improve the satisfaction of our customers, the NPS has improved to 1.2 points totaling or in the period of two years, a significant improvement of 11.5 percentage points. And the highlights were pension plans that was better by 9, premium Bonds 4 points, Term Life 2.4 points, and Rural 1.4 points and this is also reflected when we see the flows -- the outflows. And then the complaints are down by 18%, a 16% reduction in the churn in Term Life insurance 1% reduction in the churn of Credit Life insurance, and 1.1 percentage points less redemption ratio per pension plan.  So on the right hand side, you can see our program in terms of protection, we had 19,000 new customers in the category that we call over protected. We offer benefits and advantages for the customers that have a full product portfolio with us, the satisfaction rate of these customers in this segment improved 6.4 percentage points and the NPS retention increased 3%. And we had 9000 benefits that were deemed as part of the program.  Now on the next page to close this part before we move to the discussion of the year and then a brief overview of our work in terms of ESG. In terms of sustainable, our social dental products offered 2000 dental care, visits or appointments provided in terms of home insurance. We had one with six tons of sustainable disposal associated to our home insurance. We kept our support in terms of disasters that took place during the year. And the disasters, catastrophes in São Paulo and Santa Catarina and the two states in Brazil. And we are close to our customers offering expanded services in addition to what they had contracted with many different consistencies.  We offered priority flows in terms of claims, and more than 51,000 customers were served in terms of the catastrophes that took place in 2023. So in terms of social projects and investments, we had 51.7 million, in terms of social investment throughout the Brazil. In terms of our financial education projects in Brazil, Brasilprev and Brasilcap, we have 131,000 people that were included in these projects. In terms of Agri business that we call impact investments, we invest through our venture capital initiatives that are focusing today. And the reduction of the use of pesticides and chemical fertilizers that are two companies that are part of our venture initiatives working along these lines.  Now, moving to the next page rather, Slide Number 8, talking about the financial information for the fourth quarter and from then on, I'm going to focus on the comparisons for the results. So in Q4 the net income was BRL 2.1 billion, a 14% growth year-on-year supported specially by the growth in insurance premiums. More specifically, in terms of rural and credit life. So looking at the financial income, so it's kind of flat, even though the mark to market gain, especially in November and December offset the lowest selling interest rate. So financial is flat, accounting for 22% of the net income of the quarter.  Now on the next page here, looking at the 1.7 growth in billion in net income along 2023 1.1 came from operations, 500 came from the financial. So in terms of operations, the main drivers were the growth or were in premiums, as I said, especially in credit live and rural, combined with the reduction in agriculture, and also the increase in brokerage revenues in the main business lines. They weren't the three main drivers for the growth of the net income and looking at the net investment income, so we have 251 million coming from volume and rate change, especially select change in the last segment here of this variation. The second main driver was the marking to market that was positive, it was down by 122 million in 2022. But in 2023, we saw that it's closed. The structure closed especially the actual interest rate to which we are most exposed in Brazil led to a gain of BRL 149 million. So this is an accrued or added effect contributing with 271 in the quarter.  Now going to Slide Number 10, talking about our insurance operations. As I said premiums grew 9%. Rural accounted for 50.5% of the premiums grew 7% in the year, with a highlight to rural and a term life with a share of 21% was kind of flat. We had an impact of deflation of IGPMs going through the renewal of policies and this kind of affected the premiums that was flat year-on-year and credit life accounted for almost 20% of the premiums very strict, accounting for almost 20% of the premiums. Very strong growth of 24%, very much in line with the strong growth of the origination of consigned loans. So here on the lower left hand side, we see an improvement of 5.7% in the combined ratio with an improvement that is quite significant in terms of loss ratio, going from 30.8 to 26.7 with a focus, very much focused on agricultural commission went down from 29.8 to 27.6.  There is a specific factor in addition to product mix very much focused on the renegotiations that took place at the end of 2022 that change the accounting dynamics and we went -- we had incremental brokerage for Credit Life was the further along the life of the risk. And then this explains this reduction in the commission. On the other hand, it's significantly increased the unearned expenses. For the year we had more personnel and third parties in terms of IT investments, and then expansion of personnel and also in terms of the channels. And the net investment income increased 27% in the year with a share in the average balance and average -- along 2023 that was higher than in 2022. So this had an impact on the investment income. And as a result with premiums growing 18%, the combined 5.7 and net investment income growing 27% the net income of the insurance operation grew for the sub or the 5% getting to BRL 4 billion.  In terms of pension on Page 11 contributions grew 8% a year to 57 billion. In terms of quality of the net inflows, we saw a drop of 1.1 percentage points. In terms of redemptions leading to a net inflow, as I said in the beginning of the presentation that was five times higher than the one that we saw in 2022. As to the reserve balance, our reserves grew 14% year-on-year in 2023, with a share of multimarket going down to 20%. And it's very much pressured by the risk aversion of our customers and this is reflected in the drop off the five basis points in average management fee with the management fee grew 6%. Net investment income for the year was very, very favorable. The deflation of IGPM and the gain in marking to market, the net investment income tripled, or more than tripled, with all the combined effects with the growth in revenue and then the net income of Brasilprev was up by 28%, getting to almost BRL 2 billion.  Now going to Brasilcap, the Premium Bonds, reserves grew and also collections. In terms of draws paid, we had an increase of 10%. Net investment income was up by 35% with almost two fold reserves when increases of four basis points in the financial margin, very much focused in an increase of the return of financial assets along 2022 and 2023. We've been buying prefixed and slightly longer positions at better rates than what we used to have before. And we keep them until maturity. And this drove up our financial margin in the period and then obviously, the investment is the main driver for the growth of net income with the growth of 23% as compared to 2022 getting to BRL 268 million.  Now in terms of brokerage, brokerage revenues growing 8% getting to BRL 5 billion. All lines increased and the highlight is for Credit Life, which helps not just in the breakdown of the revenue in terms of time, this is very clear on the chart. On the upper right hand side, the increase in share of insurance, but it also contributes greatly for the midterm performance. And as I said, the balance got to BRL 4.7 billion growing. So the net margin had an improvement of 0.6 percentage points with an improvement in the investment income and net income grew 9% getting to almost BRL 3 billion in 2023.  Now, about the guidance; first we need to render accounts. In terms of the guidance that we published for 2023, the indicators were exceeded the non-interest operating result and the pension plans. So in terms of operating result, as I said, during the presentation it came specially from a lower loss ratio than we were expected in Q2. In terms of pension plans, the growth was caused by much more favorable movement in terms of redemptions and portability, so increased our balance and assets coming back driving the performance. And so the performance was beyond the range for our guidance. On the other hand, in terms of premium returns were below our estimated range with 8.9% and the range was 10% to 15%. This is explained especially because of the performance of agricultural or crop insurance. Even though we haven't delivered this insurance. So we retain only 20% of the crop insurance of the company and the other 80% goes to reinsurance. So what really happened this variable is not so sensitive. The most sensitive is our earned premiums that has grown and is right in the center of this range here. If this the range here was for Britain. And then here is the guidance for 2024. 2024 we have here the ranges from 5% to 10%. Premiums written of Brasilseg ranges from 8% to 13%. And for pension plans that guidance is from 8% to 12%. This is the main highlight for our performance of 2023. And now I am available to answer any questions you may have. 
Operator: Now we are going to start our Q&A session. [Operator Instructions]. Our first question comes from Leandro Leite from UBS. Leandro, please you may ask your question. 
Leandro Leite: Good morning, everyone. Thank you very much for taking my question. I have a question about rural insurance. What do you expect in terms of growth and loss ratio for 2024? And if you could remind us of your exposure per region and this comes from El Nino, what is the impact in the first half of the year? 
Rafael Augusto Sperendio: Thank you very much for your question. As to rural insurance, I'm going to start with the loss ratio in terms of actual numbers. As I said in the beginning of the presentation, we have had a very favorable performance for this indicating 2023. The loss ratio was 34% which is very similar to the loss ratio that we deliver to Life and Credit Life which are modalities where we have much higher stability. The highest volatility was during the pandemic, which was very specific, very much a one off event. So 34 is a very, very low level. We don't think we are going to stay at those levels. Also, because this is a result of remnants of an impact. And the last cycle of learning affected a very small share of Brazil, it affected more the extreme South of South America. We don't think this is going to happen again. So naturally, we should expect an increase in the loss ratio in 2024. Is it a very significant increase as the one that we saw in 2022? No, it's not. We had a loss ratio of 109.  So our loss ratio is going to be more or less in the middle. So we see El Nino impacting the South [indiscernible]. So this is concentrated in this region, we had some effects. And this is enough to increase the loss ratio in terms of what we saw in 2023. But it's not so significant that we will get close to what we saw in 2022. So when we should see this segment, loss ratio is 69% at historical average, if I'm not mistaken. There is a natural trend for convergence, but it's still too early to say. So we'll have a clearer vision view in March or April more or less, but for now, we are working with something in the middle between 2022 and 2023, may be converging towards historical average.  In terms of sales, we are expecting a better year for crop insurance than we had in 2023. In 2023, we had -- this portfolio shrank because there was a big increase in 2022, almost 50%. So we would think that this is going to grow again. 
Leandro Leite: Thank you so much. 
Rafael Augusto Sperendio: Have I answered all your questions. 
Operator: Our next question comes from Tiago Binsfeld from Goldman Sachs. 
Tiago Binsfeld: Good morning Rafael and Felipe. I would like to talk about your performance in 2024. You talked about the rural loss ratio, but what about overall loss ratio? And also, if you could talk about your investment income, so do you think the bottom line is going to grow in 2024, is that possible? 
Rafael Augusto Sperendio: So as to loss ratio, so we expect to see an increase in agricultural. But for other lines, we're not expecting anything more significant. So, the lines that are the most representative, so it is rural credit life. We have 90% of the portfolio. So the lines that don't have such a significant share, we've been working to improve our loss ratio, but those are lines that are small, they are not so significant, they do not affect our indicators so much. In terms of investment income, we have increased the margin and our exposure in terms of prefix. We're being very careful within the limits. And we are controlled by a bank and banks overall know how to work with market risk, it doesn't make any sense for us to retain cash and to have the risks of the market, we want to make money in operations.  That's why we have such a high payout. Obviously, we are going to adopt for the companies that allow it in terms of prefixed, factors that is going to be slightly bigger, but it agrees with our long term insurance. We want to generate operational results. So yes, we are going to be slightly more sensitive to the drop off in the SELIC rate on one hand, and the tactic positions that we have assumed along 2023 will help us to reduce a little bit the impact, and we are going to work to deliver results in terms of investment income.  Is it going to be as big as we had in the last two years? No, I don't think so. 2022, we're coming out from the pandemic, there was a contribution for the dropping loss ratio for life. And we also had revenue coming from investment income, and everything that was stronger after the pandemic and the post pandemic. Now the investment income is no longer so favorable. So I have mentioned a few events that helped to mitigate part of the drop in the investment income. But then on the other hand, we have a very good expectation in terms of the growth of volume. So, this scenario here in terms of increasing the volume of pension plans and insurance that we are very optimistic, about Credit Life, we are very optimistic for 2024. And historically, we are likely to have falling interest rates and then that's when Credit Life does well. So we spend a lot of time on working on our long term plan.  So the low interest rate environment is the most favorable environment for us to develop the insurance industry in the world. No country globally has a high penetration of insurance in the GDP. If you have high inflation, high interest rates, if they have a high penetration of interest rates in the GDP, they have a controlled inflation and low interest rates. This is the most favorable environment for the growth of the insurance industry in the mid and long term. So we have a little bit less investment income. But once interest rates stabilizes, of course, the income will converge with the growth of the operation. This is what we saw happening in the last two years. 
Tiago Binsfeld: Thank you very much. Just a follow up in terms of investment income. Is it's directly related?
Rafael Augusto Sperendio: Well, just a number coming from the top of my head 100 billion. And this is going to be the gain due to the marking to market ballpark number. Okay. And then we saw this happening in November and December, something that we did not expect. Well, we were expecting 7.5 income. And then 7.5 became 7.7 because of the favorable trend in terms of closing the curb which accelerated the events. 
Tiago Binsfeld: Thank you so much. 
Operator: Our next question comes from William from Itau BBA. William, you may ask your question. 
Unidentified Analyst: Good morning, everyone. Good morning, Rafael. Thank you very much for the opportunity. Here on my side, I would like to understand the dividends that you announced today. And the payout this quarter was slightly lower than the payout that we've seen in the last quarter. So, could you have commented a little bit on the reasons lying behind this movement? And now thinking about 2024 if you can effectively deliver the results indicated by the guidance, what will be the payout this year, what can we think? 
Rafael Augusto Sperendio: Well William, just as a reminder, we have a slightly different situation this year. Historically the company has been paying out 80% to 90% of our net income. And there is something that we need to stress. When I talk about payout, I am not considering IFRS 17 net income, there then percentage would be slightly smaller. I am going to stick to the previous accounting standards, it is something between 80 to 90. Now, as we launched the buyback program, the return for shareholders has two components, the more direct which is the cash flow in terms of dividends and the other one from the share program in terms of the buyback program in Spain. So we spent about 600 million. And in addition to everything that we approved in terms of dividends and everything, and we only published the calendar so far, but its total amount to be paid out has already been approved by the Board of Directors in December. And now the company has a surplus of 600 million. Because we are conservative, we always opt to approve add the Board the amount of dividends that we already have in cash available at the time of the approval so that we are not counting in future flows, even though that payout is going to be in February. So for 2024, we are not expecting anything much different from the 80% to 90% that we've been historically paying out maybe with a bias towards the top half of this range. Because this -- we think about it, it's not just dividends, its dividend, any increase in the share due to the buyback program. 
Unidentified Analyst: Thank you so much. 
Unidentified Analyst: Rafael, I would just like to add something in terms of the buyback program and take the opportunity, we have a question in the chat. So what are you going to do with the shares that are in Treasury, the shares that you haven’t bought back?
Rafael Augusto Sperendio: Well, we need to wait how much of the program that we are going to realize until our next shareholders meeting, and the allocation is going to be defined by the shareholders. The program was launched to keep the Treasury or cancellation and then once we have our shareholders meeting, we are going to decide what we are going to do with those. 
Operator: Our next question comes from Eduardo Nishio from Genial Investments. Nishio, please you may ask your question.
Eduardo Nishio: Hello, good morning. Good morning, Felipe. I have two questions. The first one regards expense rates of BB Seguridade. You have had a significant increase this quarter of 3.6 percentage points, 1.5 year-on-year. So the level that you have reached, is it a new level, do you think we are going to increase that rate in 2024, or was there a non-recurring events, if you could also talk about 2024, 2023 had an increase, do you think that this number is going to get better in 2024, so this is about expenses? My second question is about rural insurance, once again, going back to the rural insurance. So your crop insurance has gone up significantly this quarter. It went from 4% to 30 something percent. Okay. So what happened this quarter, are we going to see the reverse trends, so in 2023 it started higher and then it dropped, how do you see this trend of loss ratio along 2024? 
Rafael Augusto Sperendio: Well, Nishio thank you very much for your question. That's two expenses. So I'm going to think in terms of block, in terms of expenses we have the BB Seguridade insurance and the brokerage company. The company that works at state level, so to speak. Yes, we have had an increase and this increase took place especially because of vacancies were filled. We had an increased limit of 200 people that the government has approved, and they defined staffing and headcount. But there were many dismissals of employees during the pandemic which reduced significantly the headcount. And it was only in the second half of last year that we were able to fill the vacancies and to have full staffing. So new employees, this is what had an impact in the growth of expenses. So the number of people, but we still have the limit of 200 that still applies. And we fill those vacancies in comparison to 2023. We also have the collective bargaining process.  As to other companies, yes, the structure became bigger or grew but in terms of new business prospection and also in terms of IT. For 2024, we are working with a very restrictive assumption in terms of expenses for all companies in our holding. So our focus is going to be much higher on monetizing all the investments that we have made along the last two years. So we are not going to see any increases in expenses that are significant when we see all expenses, personnel, administrative, operational, and CAPEX in 2024. Our performance is going to be more moderated because we are focusing much more on monetizing all the investments that we have made so far.  In terms of comp insurance, the loss ratio dynamics for the year ends up having a higher concentration between the first and second quarters of the year. And why is that so? Well, we have a period of harvesting our main exposure specialist soy and corn in the South and Southeast of Brazil. So usually, the claims start between December and February. In those states in Brazil, where we have the highest exposures. That's why the loss ratio is bigger in the beginning of the year, and then it drops in the second half of the year. In the second half of the year loss ratio only goes up when there's something very specific, affecting the interim drop. So it's not common for us to see a high loss ratio in the second half of the year. 
Eduardo Nishio: Thank you so much. 
Operator: Our next question comes from Silvia Daria [ph] from Safra. 
Unidentified Analyst: Good morning, thank you very much for taking my question. It's about reinsurance. What about reinsurance for 2024, do you see any changes in the strategy for the year? Another question about insurance in terms of written premiums that will grow about 18% in terms of makes, will there be any changes between considering what was in 2023? 
Rafael Augusto Sperendio: Thank you for your questions, the audio was not so good but I think I understood it. In terms of reinsurance we are constantly improving our risk dilution strategy. So we have expanded our panel, we got what we expected for the year and we avoided the concentration of risks that we had in the past. So we're working today with more than 10 reinsurers considering our reinsurance segment. In terms of premium mix, as I said during the presentation, we expect the term life to get better if separately in fact, because of the IGPM deflation. And we do not expect it to have the same impact this year. We are very optimistic with Credit Life. As I said before Credit Life would be the main driver for the growth of premiums in 2024 just as it was in 2023, and Rural Insurance, especially crop insurance, we are expecting good performance. We have been expanding the products that we offer. So there were some changes in the regulation in terms of collaterals and guarantees. So we had this type of event, especially for rural insurance.
Unidentified Analyst: Thank you very much for your answers. 
Operator: We have another question coming from Antonio Ruette from the Bank of America. Antonio, you may ask your questions. 
Antonio Ruette: Well, thank you very much for taking my question. So the question is about the guidance, especially in terms of pension plans, the guidance to increase your reserve here, if we compare the guidance to the average SILIC, close to 10% for the year. So somehow, it indicates that growth might be even lower than the average selling. So what are your assumptions in terms of inflow, the overall overview for 2024 for this line of business? 
Rafael Augusto Sperendio: Well Antonio, as to the guidance ranges for pension plans and in terms of operating results, if we were to look at those ranges as a distribution of probability, it is asymmetrical and more concentrated on the right hand side. So the low tail of the guidance was designed to accommodate some extreme scenario, both in terms of operational performance, the most sensitive variable is loss ratio, whether in pension plan, some movement, some stronger movement in terms of fund outflow for something that will need reserves to decrease to go down. If there's something wrong affecting the curve, it affects not just the return on assets, but it triggers the outflow of funds. So customers don't have to have negative flow in fixed income. So this is to accommodate extreme scenarios, it can happen. But in our perception it is low and the highest probabilities to be on the top half. And we have a good excuse. We are expecting good flow that's favorable in terms of redemptions, without any major volatility in terms of interest curve. In terms of fixed income, this is very favorable and investors are not yet -- so seeking risks, and this will lead to a lower increase in terms of flights due to redemption or portability. And this is what is included in our assumptions. 
Antonio Ruette: Thank you so much Rafael. 
Felipe Peres: We don't have any other questions. The questions in the chat have been answered. there was a lot about the buyback program. So now we end our conference call for the fourth quarter 2023. Rafael, any additional comments to make? 
Rafael Augusto Sperendio: I would just like to thank you once again, for your participation in this conference call to announce our earnings and I am available to answer any questions that I may not have answered. So thank you so much, have a good day and once again, emphasizing please answer our questionnaire giving us feedback. Questionnaire that you see at the end of our meeting. Thank you.